Operator: Welcome to Urban One’s Second Quarter Conference Call. I have been asked to begin the call with a following Safe Harbor statement. During this call, Urban One may share with you certain projections or forward-looking statements regarding future events or its future performance. The Company cautions you that certain factors, including risks and uncertainties referred to in the 10-Ks and 10-Qs and other reports periodically filed at the Securities and Exchange Commission could cause the Company’s actual results to differ materially from those indicated by its projections or forward-looking statements. This call will present information as of August 2, 2017. And please note that Urban One disclaims any duty to update any forward-looking statements made in this presentation. In this call, Urban One may also discuss some non-GAAP financial measures in talking about its performance. These measures will be reconciled to GAAP, either during the course of this call or in the Company’s press release, which can be found on its website at www.urban1.com. An audio replay of the conference will also be available at Urban One’s corporate website, at the same www.urban1.com under the Investor Relations sections of the webpage. The replay will be made available on the website for seven days after the call. No other recordings or copies of this call are authorized or maybe relied upon. I will now turn the call over to Alfred C. Liggins, Chief Executive Officer of Urban One, who is joined today by Peter D. Thompson, the Company’s Chief Financial Officer. Mr. Liggins?
Alfred Liggins: Thank you very much, operator and we are also joined today by the Chief Financial Officer at TV One, Jody Drewer and our Chief Administrative Officer, Linda Vilardo. We’ve seen the press release, we’ve released our earnings and as we guided and have continued to – guide for most of the year, Q2 was a tough quarter across the business, led by downward trends in our radio business and our Reach Media syndication business. However, the good news is feels like that radio is improving that feels like it is sequentially improving as we outlined in the press release, Peter’s going to talk more about what those trends look like. Hopefully, they will continue to get sequentially better although, you still have as we do expect the headwinds of political in Q4. We're very focused on getting back to performing with better than the market, we did that in June it’s our goal. And also continuing to focus on cost containment, so that though we can still strive to achieve our goal of trying to grow our EBITDA, year-over-year, its going to be a push, we’ve got to see how the back half of the year comes in but we are not giving up on that goal at this point in time. TV One, we announced the leadership change. Our President of two and a half years Brad Siegel has officially left the network. We – by mutual agreement, we have promoted somebody internally a woman named Michelle Rice, who's Head of our affiliate distribution efforts. She has been with the network since the beginning. I’ve worked very, very closely with her. We’ve gotten all of our affiliate deals done and so she not only is focused on what our new platform opportunities are but now knows the network as well as anybody has been in the industry a very long time has very well respected. And has a lot of time to help us work through the challenges that the network has, primary challenges are similar to other networks than rating so far. We've seen declines in the Pay TV universe, which we've been getting additional subs coming online but it still creates a headwind in the overall industry and on top of that. We've seen challenges in our original programming ratings and ratings have been down year-over-year and we have to focus on that and find a Fix Squad and change that. So I'm taking much more of an active role, I did that for a period of two years prior to Brad coming. So between Michelle, myself, Chief Financial Officer, Jody Drewer, the Head of Programming, D'Angela Proctor, we’re all hunkering down and figuring out how we solve the TV One issues. However, even with that based on our ability to control a number of our expense levels. We're still holding on to being able to reach the aforementioned guidance at TV One EBITDA guidance of $82 million to $84 million of EBITDA, right now its probably looking like the lower end of that range. But that they were still hoping into that, that's within striking range. And we're very focused on getting there. So the two things, TV One and also our ability to at least be flat grow overall consolidated EBITDA of the company are still the goals that we are focused on and all fell within striking distance. With that, let me turn it over to Peter to go through the numbers in detail and then we’ll open up to Q&A.
Peter Thompson: Thank you, Alfred. Net revenue was down 4.1% for the quarter ended June 30, 2017 and approximately $117.6 million, and breakout revenue by source can be found on Page 5 of the press release and a breakout by segment can be found on Page 7. Radio stations were down overall in the second quarter, but it also mentioned they showed sequential improvement, with April being down 12.9%, May down 7.2% and June was up 2.3%. We also outperform their markets in the month of June. For the second quarter, local radio revenue was down 7.6% and national revenue down 2.8% for our radio stations. Advertising sales were up in retail sector, government/public automotive and services, while telecom, food and beverage, entertainment, financial healthcare and travel transportation sectors were down, average unit rates, were down by approximately 3.6% overall and sell out was down by about two percentage points overall. According to Miller Kaplan, total spot markets were down 3.6% in the quarter. Q3 our radio stations are currently pacing down approximately 3% with July finishing slightly positive last year. Net revenue for Reach Media was down by 5% for the second quarter, it was weak demand network advertising market, particularly multicultural network clients and lower unit rates, which were partially offset by a successful Tom Joyner Fantastic Voyage event in April. Net revenues for our digital segment increased 11.1% in second quarter, driven by revenue from the newly acquired Bossip, Hip-Hop Wired and MadameNoire brand, excluding this acquisition, digital revenues down approximately 12% year-over-year. We recognized approximately $45.4 million of revenue from our cable television segment during the quarter, compared to approximately $47.6 million for the same period in 2016, decrease of 4.6%. Cable TV advertising revenue was down 5%, driven by a shortfall in delivery versus ratings estimates. Cable TV affiliate sales were down 4.6%. The $1.4 million affiliate rate increase that we got was offset by churn of about $900,000 volume discounts approximately $1.1 million in prior period adjustments of $600,000. Cable subscribers, as measured by Nielsen, finished Q2 2017 at $59.3 million, flat since the end of Q1. We recorded approximately $1.5 million of cost method income for our investment in the MGM National Harbor casino, which is equal to 1% of the net gaming revenue reported to the state of Maryland. Operating expenses excluding depreciation, amortization, impairments and stock-based compensation decreased by 1.7% to approximately $84.2 million in Q2. Radio operating expenses were flat. Reach expenses were down 2.4% due to a lower compensation and event expenses. Operating expenses in the digital segment were up 31.6%, expenses from the newly acquired Bossip, Hip-Hop Wired and MadameNoire brands totaled about $1 million in the second quarter. Excluding this the digital segment expense were up about 16% year-over-year, driven by investments in digital sales and products including short form video and data research. Cable TV expenses were down 8% year-over-year, primarily due to lower incentive-based compensation costs. For the second quarter consolidated broadcast and Internet, operating income was approximately $41.8 million, down from $48.9 million in 2016. Consolidated adjusted EBITDA was $36.7 million decreased of approximately 8.2% year-to-year. Interest expense was approximately $19.9 million for the second quarter compared to approximately $20.5 million for the same period in 2016, and the company made cash interest payments of approximately $18.2 million in the quarter. Net income was approximately $802,000 or $0.02 per share compared to net income of approximately $7.3 million or $0.15 per share for the second quarter 2016. For the second quarter, capital expenditures were approximately $2.3 million, compared to $1.1 million in the same quarter of 2016. And the increase was primarily the result of investments in our enterprise-wide data center and financial systems. Company paid cash taxes of approximately $396,000 in the quarter, and we repurchased 154,290 shares of Class D common stock and the amount of approximately $2.1 million during the quarter. Company also purchased 7,699 shares of Class D common stock in the amount of $23,000 to satisfy employee tax obligations in connection with 2009 stock plan. As of June 30, 2017, Radio One had total debt, net of cash and restricted cash balances and OID of approximately $945.4 million. The bank covenant purposes pro forma LTM bank EBITDA was approximately $127.4 million and net debt was approximately $963.9 million, for a total leverage ratio of 7.57x and a net senior leverage ratio of 5.00x. With that, I'll hand it back to Alfred.
Alfred Liggins: Operator, we'll open the lines up for questions, please.
Operator: Certainly, thank you. [Operator Instructions] First, it looks like we have the line of Lance Vitanza with Cowen. Your line is open.
Lance Vitanza: Hi, thanks for taking the questions. Could you remind me, I have seen obviously in the press release the $82 million to $84 million adjusted EBITDA guidance for TV One. What is the guidance for the consolidated company for the full year on EBITDA?
Peter Thompson: We haven’t given full year guidance but right now, we are forecasting flat EBITDA and we're hoping to be able to get that up a bit. So right now, forecast is flat year-over-year.
Lance Vitanza: Okay, so I'm trying to get my head around. 1Q revenues, we were down 7%, 2Q we are down 4%. 1Q EBITDA was down 10%, it's down 8% in 2Q. So obviously, I recognize that these numbers aren't where you want them to be, but was there something special about 1Q because it seems like on the face of it that the trends are at least improving?
Peter Thompson: Yes as Alfred said, radio trends are definitely improving in terms of June being a positive month, July being a positive month. And sequentially, we're seeing improvement there. So Q3 pacing down minus three, hopefully that trend continues. Q4 is going to be a tough one, right because of political. We took about $4.8 million of political revenue in Q4 last year, we probably do about $800,000 so we have got a $4 million delta to fill in Q4, so that's going to be tough. And then, I think TV One has had a rough couple of quarters ratings down double-digits in the second quarter has hurt. I think, going into Q3 we'll feel a little bit better about that and so we don't think that, that trend is going to continue and also we have got some paying subs coming on in the second half of the year in TV One. So I think TV One back half looks better than TV One front half. And then Reach just had a tough start for the year. Demand has not being great there, we will have to see how the back half of the year is for them. Digitally is relatively stable, the new acquisition that we have put in there, I think it's very helpful. And MGM has been great, right? So that's doing $0.5 million per month for us. We don't get the cash for that until next March but we feel good about that $6 million for the years, so we think the back half is looking stronger than the first half.
Lance Vitanza: Okay. So then just to follow-on on that. On the TV One side, to get to the $82 million to $84 million guide, you need to do about 41 to 43 in the back half of the year. Can you just remind me how does that compared to what you did in the back half of last year, TV One is that up, down, flat?
Alfred Liggins: Back half last year we did $30 million to $36 million. So just to do the math there, so up 10-plus percent, as Peter mentioned, we have some paying subs coming on in the back half. Our third quarter ratings are already up 17% in prime versus 2Q and in the younger demo, that's in the P25-54 and we're flat in the first quarter, we're up 17% in the younger demo and actually up 4% versus first quarter. So that's going in the right way and we don't see that changing in the back half.
Peter Thompson: And then the other thing in the back half certainly for Q4, the program and MO line, we just not run in as much new program in year-to-year so you're going to have a pick up on the program and MO line particularly in fourth quarter. So again that will – right, the one of the things that hurt TV One in the second quarter just as an FYI, first quarter we actually had almost 54 hours of original premiere but in second quarter we only had 36. So that's what our ratings from second quarter, but third quarter we're going back up again in to the 40s.
Lance Vitanza: Okay, great. All right, thanks guys, appreciate the additional color.
Alfred Liggins: Thanks, Lance. Operator, next question?
Operator: Certainly, next we have the line of Clayton Lechleiter of Imperial Capital. Your line is open.
Clayton Lechleiter: Hey, I was wondering it looks like you guys took a lot of corporate expenses out the business, this quarter. What do you think the run rate corporate expense number is for this company?
Alfred Liggins: Yes, I'll look at it slightly differently to the way we published.
Peter Thompson: Yes, we're down about, we're forecasting to be down about $1.6 million year-to-year for the full year corporate line.
Clayton Lechleiter: You're forecasting to be down $1.6 million in fiscal 2017 over 2016?
Alfred Liggins: Yes. For the full year.
Clayton Lechleiter: And then in terms of run rate how do you think the business, did you guys have taken a lot of cost out what do you think that number would be on a run rate kind of normalized scenario? Once you get done taking out additional corporate cost?
Alfred Liggins: I'm thinking of a way down, see the reason I'm hesitating is the first three quarters don't have bonus accruals and then we got a big bonus what I say, a big bonus. We have a bonus accrual in fourth quarter. So you have one run rate for Qs 1, 2 and 3 and then a higher run rate for Q4, which is why I spoke to the annual number.
Clayton Lechleiter: Okay. Just as a follow up. Are there any other types of asset sales similar to the one that you guys recently did in the tower sales?
Alfred Liggins: Our issue is I think everything we have now makes money, right? So trying to get a slice for something that's accretive to what it's worth to us in the cash flow that it generates is the challenge. And we have always been opportunistic in terms of switching around assets. So we agreed to sell a radio station, an AM radio station in Detroit that was doing $600,000 of revenue and making $80,000 and we ended up for $2 million and then we ended up buying an AM in Richmond, which was doing $600,000 of revenue. We're probably going to make a couple of hundred thousand dollars on that down. And then we also bought an FM to pair with one of our stations in Washington. And so that is going to be a very accretive trade in $2 million out, $2 million in. And so we we're looking for opportunities like if somebody were to make an offer to us that was more than, we were able to generate in cash flow and it was de-levering, we would absolutely considered it. But it just hasn't been a bunch of M&A in the radio space. So we're open to creative ideas but there is nothing on the horizon like the tower sale that would generate a big number.
Clayton Lechleiter: Thanks. That was helpful. And then if I could sneak one last one. I think one of your competitors is little tied up just from a capital management standpoint. Do you think that one of your larger competitors could potentially be interested in this asset, once they have more financial flexibility?
Alfred Liggins: What the question is – is that an industry consolidation question and look I think more industry consolidation would be good for the industry. I can't really speak to whether or not somebody would be interested in any of our markets. Probably, should be some swapping around and stuff right, we're not up against – we are only up against the caps in one market, which is Richmond, actually two markets, Richmond and Raleigh, other than that, we could actually get bigger in almost every market. That's our aim, but a number of our competitors have the same issue, right? They want more money for their assets than they levered us to make it accretive, so you can't really do attractive M&A. And so I don't know how it’s all going to play out, but there should be consolidation and we should be some swapping around. The industry has got a revenue trend that needs to be stabilized and I think future consolidations would allow it also allow consolidation in the expenses base. So I can't speak for the other guys. There is a long way, look, the two big guys are obviously, Cumulus and iHeart and they have got a lot of wooded job even if iHeart gets there current deal in the market place done they're not out of the woods, right, they can't kick down the road.
Clayton Lechleiter: Thanks a lot.
Alfred Liggins: Sure.
Operator: Next question comes from the line of [indiscernible]. Your line is open.
Unidentified Analyst: Hi, thanks for taking my question. The one question that I have is, if you could maybe give me a bit of a more explained detailed explanation on how the performance of your company compares versus the market, the each of the individual segment in which you operate? And what explains the underperformance and outperformance, and how you plan to address that?
Alfred Liggins: Yes. I mean, look, can’t give it to you by individual radio markets on this call, but historically, we’ve outperformed our radio markets. But the last 18 months we’ve been underperforming them, largely driven by competitive attacks that we’ve had, most notably in our Houston market and then Columbus, Ohio, Huston was a big hit for us. We feel like that that's stabilizing now and June was the first month in a very long time that we outperformed the markets, and we'll see what happens in July, that's our focus. Radio has something called Miller Kaplan, so we have got ready data on one of our competitor is doing and how we're doing against the market et cetera, don't have that same data on the digital side or the cable TV side. So I can't really speak to how our individual competitors are doing in the cable television business.
Unidentified Analyst: Thanks very much. And how about Reach, how do you see that comparing versus the…
Alfred Liggins: Yes. Reach is – I don't know what Reach’s market share. Reach’s market share, it has been flat. I don't have a year-to-date. Do you have year-to-date Miller Kaplan on network? No. We can get that data for you offline. We have similar data for Reach Media that we have for the radio business and we're happy to give that you if you just send in an e-mail or call to Peter, our CFO, afterwards.
Unidentified Analyst: Great. Thanks very much.
Operator: Next we have the line of Eric Bourassa with Jefferies. Your line is open.
Eric Bourassa: Thank you. Good morning and thanks for taking the question, just one quick one. I was wondering if you guys can kind of discuss your capital allocation policy going in kind of back half of the year as you guys generate some decent cash flow. I think over the past few quarters looks like you guys made some small acquisitions and bought back some stock. How should we think about this going forward?
Alfred Liggins: Careful, looking for acquisitions that are delevering and every capital allocation decision is kind of we look at it versus buying back our debt at its current trading levels. If we're going to acquire an operating asset, will it be delevering the small digital acquisition that we made. We think that was bought at – through Q2 kind of like 2.77 times what we think this year’s cash flow is going to be or is that a trailing cash flow?
Peter Thompson: That was trailing.
Alfred Liggins: 2.77 times, yes, what the trailing cash flow at the end of Q2, and we’re also continue to be delevering at the year end number. And I think you'll see us continue to kind of pick away at little things like that. We're not really in the market for any sort of transformative acquisition swing. So – but we do believe that there is opportunity and consolidating competitors and taken out cost and getting your leverage down and being able to find revenue synergies.
Eric Bourassa: Perfect. Thank you.
Operator: Next we have the line of Robert Claiborne of Insight Investment. Your line is open.
Robert Claiborne: Good morning. Thanks for call. I got a couple of questions. First on the TV One operations, you mentioned the ratings were down double digits in the first quarter and then someone improved in second quarter and looking to improve in the third quarter. Can you maybe talk a little bit more about the programming that was driving the ratings? And then what you are doing to reverse that going forward?
Alfred Liggins: Yes. Let me correct you, they’re down in first and second quarter, so second quarter is bad as well. It all kind of started when we lost over a year and a half ago a big acquisition we had, Martin, and it did really well for us ratings-wise. But we had lost it three years ago and in order to – and let it go in order to purpose that money into original programming. So when we lost Martin in September of 2015, yes, September of 2015, the original strategy was we increased the runs of our original repeats, which did not do as well. Then we essentially went to our library to acquire sitcoms, which a lot of more – older sitcoms like Good Times, and Sanford and Son and The Jeffersons, and started running those more, and those actually did better and improved. But over time, they started to degrade. And then also on particularly going into this year, we’ve had some significant misses on our original programming. So in Q1, we had a dating show called Game of Dating, which was a really big miss. Our big award show, The NAACP Image Awards didn't perform as well as last year. Another reality show that came after Game of Dating, The Man, didn't perform at the level that we had hoped. So we’ve had some significant original programming challenges in terms of ratings. What we’ve done to improve our acquired program and ratings is we have licensed The Cosby Show and that has – we've got a pretty good deal on it given Mr. Cosby’s current legal challenges and profile, but we did a bunch of research with our audience and our audience really is a fan of the show that shows – it’s a show, right. And it’s a short comedy that’s done really well and quite frankly the ratings have been really good on it for us. And so that's what's been driving the up swing in ratings in Q3. And we need a restart on our original programming strategy, which you will end up kind of taking route more sort of next year. Quite frankly, we had to dial back our original programming hours this year in order to make sure that we did make a number. So we're really kind of focused on what's next year are going to look like. But we've got third quarter with the return of one of our major series Unsung, which is doing decently. What else is coming in Q3?
Peter Thompson: We have Rickey still for the Q3, three nights of the week we'll have an original program.
Alfred Liggins: So our original – our crime night is Monday and those are original premiers. Rickey Smiley is on Tuesday, and then Unsung is on Sunday, that's our biopic show for Q3. Q4 is going to be late, but we are forecasting all of that out and we still think we're going to get to our EBITDA guidance.
Peter Thompson: And right now versus Q2, we're up six of the seven nights in a week versus Q2 – the seventh night for comedy. Q3 versus Q2, sorry, Q3 versus Q2 up six of seven nights, the seventh night is flat.
Operator: And next we have the line of Terrence Nelson [ph] with Baltimore Sun. Your line is open.
Unidentified Analyst: Thank you. Thank you for taking my question. I just had a quick question about TV One from a programming aspect. Are there any plans to produce material drive a younger demo to TV One on a more consistent basis?
Alfred Liggins: Younger as in – the target demo for TV One is 40- to 45-year black women, and we need to focus on getting her to the network and satisfying her and keeping her on the network as much as possible. I and Michelle, I think going outside of that is a distraction and quite frankly it's been one of the causes of probably some of our inconsistent ratings performance. So you got to be who you are, we are not a millennial network and we're not going to try to be. I hope that answers your question.
Unidentified Analyst: Yes.
Operator: It looks like we do have a follow-up from [indiscernible]. Your line is open.
Unidentified Analyst: Thanks for taking my follow-up question. I just wanted to go back up line – project. The follow-up question is on digital, I'm trying to understand your – if you could maybe explain to us, what is your general thinking on your expense on the digital side. Because it has been the period of revenue declines and also EBITDA losses so I mean what are your general thinking of that?
Alfred Liggins: So last-year digital was a breakeven business for us. Going into this year, we did two things, we invested in more resources to create more digital video, which has got more demanding and higher CPMs. So that the staff and content cost and we also invested in more in data analytics because we have been – and we also built out a millennial ad network. So we have been increasing our audience pretty substantially and we are investing in the content to try to drive that revenue. That's number one. So that – those investments, which swing the digital division to like a minus $3.5 EBITDA loss. Then we made an acquisition of three big brands, from one of our primary and independent competitors that we feel was accretive and deleveraging although they had a negative revenue trend. And our goal is to come in cut some of the expenses give them back, because we put them on our platform give them back resources to sell with and reverse the revenue trend. So right now, that acquisition of Bossip, gossip site, MadameNoire, which is a women site and then Hip-Hop Wired, a hip-hop site is on a trailing basis has been deleveraging and accretive and in fact it took about point one turn off of our leverage. And we think our loss this year instead of $3.5 million in digital it's going to look more like $2.5 million based on current forecast for that so it improved it. The revenue line that you saw in the press release is not acceptable for digital and we're working on that and addressing it however, the digital division is still on target for meeting or exceeding what our EBITDA forecast was. And but that's – meeting your number by controlling your expenses is one way to get home, it's not the preferred way of getting home. So we are addressing efforts on how to grow the digital top line. So that's the focus we have [indiscernible]. But the acquisition we made, I think it's going to be helpful, they’re actually again performing better than we thought that they were going to perform and probably have some top line revenue upside but we are super-focused on it.
Unidentified Analyst: Okay, that’s very helpful. Maybe you could also discuss – maybe not in detail, what's your general strategy, what's your niche here considering that you're competing against guys that actually have much more resources than you do in digital including…
Alfred Liggins: I mean, look its – I would have preferred that the digital revolution never had have happened because it's a much shitter business than the businesses that all of us media people are used to be in. First of all, we're not a technology company and sort of the value – the biggest value out of the – in the digital space and if you're a digital publisher like we are then you are ultimately beholding to the platforms of Facebook and Google and the economics that they give digital publishers are lousy. By the same token we have to be in the digital business as a media company that's just billions of dollars flowing to it and advertisers requested and we need to compete there. So the answer is I don't freaking know, I mean I’m hopeful that in our space we continue to build – I think we're at an inflection point, I think we're at an inflection point of scale size, we got about – we’re having about $30 million of revenue, where we can continue to layer on digital audience or digital competitors that are struggling and build revenue scale that will result in positive EBITDA. I think we are there, what I'm unhappy with right this second is our organic on direct sales is not growing in the first half of the year and we got to fix that, but I think we're close to this inflection point, where we can show EBITDA. I mean we can actually show positive EBITDA.
Unidentified Analyst: Okay, appreciate it. Thank you very much.
Alfred Liggins: Sure.
Operator: It looks like we do have the line of Robert Claiborne with Insight. Your line is open.
Robert Claiborne: Thank you. I just had a follow-up question on the radio business. You took an impairment on the Huston station in the quarter, and I was wondering if you could just discuss the Huston market a little bit more as to what your outlook is for that as well as do you – and looking at your other radio properties do you see any other risk of further impairments on the near-term? Thank you.
Peter Thompson: Look Houston is being, as Alfred said earlier, Houston is being a tough market for us for last couple of years, we took a direct competitors from iHeart and it really affected our market position there. So we lost both share and revenue. The market itself, I'm just taking a quick several spot mark in Houston. The market itself from a spot revenue point view and the second quarter was down 7.6%. So it's a market that's been struggling as well so you've got a soft market and also for us specifically we were competitively attacked and we bear the consequences of that. So the combination of those things has led to the impairment. Generally when we’re looking for impairments, the way it works that they don't look at you specifically, they just look at it general market participants. So the fact that the market has fallen is one of the reasons why we would have taken an impairment in Houston, there were no impairment indicate us whenever they come up we investigate on a quarterly basis and we take appropriate write-downs. So the Houston one was the only one we needed to clean up and then it depends what happens in the market from here and out, we don't have to see anymore impairments but you can never say never.
Robert Claiborne: All right. Okay. And I guess, I know in the past, you've told me that iHeart has been very aggressive in a lot of your markets where you compete directly and I guess, do you see that not changing in the near-term?
Alfred Liggins: Hopefully that’s changing.
Robert Claiborne: Okay, thank you.
Operator: At this point, we now have no further questions here in queue for us.
Alfred Liggins: Great, thank you folks. And again, we're always available offline. We'll talk to you next quarter.
Operator: And ladies and gentlemen, here on the phone, that does conclude the conference for this morning. We do thank you very much for your participation and using our executive teleconference service. You may now disconnect.